Operator: Greetings, and welcome to the Weyerhaeuser Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Andy Taylor, Vice President of Investor Relations. Thank you, Mr. Taylor. You may begin.
Andy Taylor: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser’s third quarter 2024 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our earnings release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Devin Stockfish, Chief Executive Officer; and David Wold, Chief Financial Officer. I will now turn the call over to Devin Stockfish.
Devin W. Stockfish: Thanks, Andy. Good morning, everyone, and thank you for joining us. Yesterday, Weyerhaeuser reported third quarter GAAP earnings of $28 million or $0.04 per diluted share on net sales of $1.7 billion Excluding a special item, we earned $35 million or $0.05 per diluted share. Adjusted EBITDA totaled $236 million for the quarter. Our teams delivered solid operating performance in the third quarter against a challenging market backdrop. Notwithstanding recent headwinds, we remain well-positioned in the current environment given our deeply ingrained OpEx culture and relative position on the cost curve. Our balance sheet is strong and we continue to demonstrate the durability of our portfolio and capital allocation framework across market cycles. Looking forward, we’re optimistic that market conditions will improve into 2025 and maintain a constructive outlook for the longer-term demand fundamentals that support growth for our businesses. Before moving on to our business results, I’d like to provide an update on the Alabama timberland acquisitions that we announced in July. As a reminder, the acquisitions totaled approximately 84,000 acres or $244 million, and were sourced through multiple transactions, the first of which closed in the second quarter. I’m pleased to report that we completed the remaining transactions in the third quarter and earlier this month. These acquisitions represent an attractive opportunity to enhance our portfolio with high-quality, well-managed timberlands that generate solid returns for our shareholders. In addition, they demonstrate meaningful progress toward our multiyear timberlands growth target. Including these transactions, we’ve deployed approximately $775 million against our target and are on track to reach $1 billion of strategic timberland acquisitions by the end of 2025. Turning now to our third quarter business results. I’ll begin with timberlands on Pages 6 through 9 of our earnings slides. Timberlands contributed $57 million to third quarter earnings. Adjusted EBITDA was $122 million a $25 million decrease compared to the second quarter, largely driven by lower sales realizations and volumes in the West. Starting with the western domestic market. Log pricing faced downward pressure in the third quarter as log supply remained ample and mills carried elevated log inventories and continued to navigate a very challenging lumber market. As a result, our average domestic sales realizations decreased compared to the second quarter. Our fee harvest volumes were moderately lower as we made the seasonal transition into higher elevation and lower productivity harvest operations. Additionally, although wildfire activity was limited in our timberlands, dry conditions across the Pacific Northwest resulted in additional operating restrictions in certain areas, further reducing our harvest volumes in the third quarter. Per unit log and haul costs and forestry and road costs decreased compared to the second quarter. Moving to our western export business, starting with Japan. Log markets softened in the third quarter given ongoing consumption headwinds in the Japanese housing market and elevated inventories of finished products for our customers. In addition, there was a significant increase in European lumber imports into Japan following the resolution of a labor strike in Finland earlier this year. This led to increased competition in the Japanese market. Given this dynamic, demand from our strategic customers moderated in the third quarter. As a result, our sales volumes and average realizations for export logs to Japan were lower compared to the second quarter. In China, log market showed signs of moderation at the outset of the third quarter in response to lower consumption levels and elevated log inventories at the ports. As the quarter progressed, consumption improved steadily and inventories fell to their lowest levels since January. On balance, log demand was solid from our strategic customers, and we shipped more volume to China than our initial plan for the quarter. That said, our sales volumes and average realizations were lower compared to the second quarter. Turning to the South. Adjusted EBITDA for southern timberlands increased slightly compared to the second quarter. Southern sawlog markets continued to soften as log supply remained ample and mills further adjusted the lower pricing and takeaway of lumber. In contrast, southern fiber markets were generally stable. On balance, takeaway for our logs remained steady given our delivered programs across the region. As a result, our average sales realizations were comparable to the second quarter. Our fee harvest volumes and forestry and road costs were lower as multiple tropical weather systems impacted the region in the third quarter. It’s worth noting that while our timberlands were largely undamaged by these storms, wetter than normal conditions limited our operating activities in certain geographies. Per unit log and haul costs were comparable to the prior quarter. In the North, adjusted EBITDA decreased slightly compared to the second quarter, sales realizations were moderately lower due to mix and fee harvest volumes were significantly higher resulting from the seasonal increase in harvest activity that’s typical in the third quarter. Turning now to Real Estate, Energy & Natural Resources on Pages 10 and 11. Real Estate & ENR contributed $51 million to third quarter earnings. Adjusted EBITDA was $77 million a $25 million decrease compared to the second quarter, largely driven by the timing and mix of real estate sales. It’s worth noting that real estate markets have remained solid year-to-date, and we continue to capitalize on steady demand and pricing for HBU properties with significant premiums to timber value. I’ll now make a few comments on our Natural Climate Solutions business. We remain on-track to receive approval for two forest carbon projects in the U.S. south in the coming months. Between the initial credits from these projects and the next issuance from our main pilot project, we expect to generate over 100,000 credits. Looking forward, we have several additional projects in the development pipeline and are encouraged by the increasing demand for high-quality credits and growing support for voluntary carbon markets. Turning to Renewables, we continue to see strong demand for large scale solar development and are well-positioned to capitalize on this opportunity as markets continue to expand. In total, we signed approximately 70 agreements for potential solar projects. Notably, we have three solar developments currently under construction, one of which is expected to be operational by year-end. Additionally, we’re expecting two new wind projects to come online in the coming months, which will increase our wind portfolio from six active sites to eight active sites. Moving now to Wood Products on Pages 12 through 14. Excluding a special item, Wood Products contributed $37 million to third quarter earnings. Adjusted EBITDA was $91 million, a $134 million decrease compared to the second quarter, largely driven by lower product pricing, particularly in OSB, as well as lower sales volumes and higher unit manufacturing costs across our Wood Products segment. Starting with lumber, Third quarter adjusted EBITDA was a $29 million loss as significant headwinds persisted across the North American market. Benchmark pricing for lumber reached historically low levels at the outset of the third quarter, particularly in the U.S. south. This was driven by several ongoing dynamics, including cautious buyer sentiment, ample supply and soft end market demand. As the quarter progressed, supply and demand began trending towards a more balanced state and benchmark pricing improved slightly. It’s worth noting that lumber prices in the U.S. south have steadily increased in October, as inventories remain lean and buyers navigate supply constraints following recent tropical weather events and in response to a series of mill curtailments and closures across the region. In addition, we’ve started to see an improvement in repair and remodel demand in the U.S. south, particularly from the treater segment. For our lumber business, production volumes decreased in the third quarter as we reduced our operating posture in response to a softer demand environment. This took place across our mill set and included the previously announced curtailment of our New Bern sawmill. As a result, our sales volumes were moderately lower in the third quarter and unit manufacturing costs were moderately higher. Our average sales realizations decreased by 4% compared to the second quarter and log costs were slightly lower. For the fourth quarter, we plan to return our lumber business to a more normal operating posture. We’re encouraged by recent improvements in the southern lumber market and given our OpEx focus and relative position on the cost curve, we’re better positioned to operate through the commodity cycle compared to much of the industry. Turning to OSB. Third quarter adjusted EBITDA was $39 million, an $83 million decrease compared to the second quarter, primarily due to lower product pricing. Supply and demand were relatively balanced across the North American OSB market in the third quarter, and benchmark pricing was stable, albeit at a much lower level than the second quarter average. For our OSB business, average sales realizations decreased by 25% compared to the second quarter. Our sales volumes were moderately lower and unit manufacturing costs were moderately higher due to planned annual maintenance outages that are typical in the third quarter. Fiber costs were slightly lower in the quarter. I would note that we’ve seen OSB prices trend up in recent weeks and our order files are now extended out through November. Engineered Wood Products adjusted EBITDA was $61 million, a $31 million decrease compared to the second quarter. This was largely driven by lower sales volumes and higher unit manufacturing costs as we aligned our production to match customer demand and to keep inventories at appropriate levels in light of weaker July housing activity. Notably, our average sales realizations for solid section and I-joist products were comparable to the second quarter. Looking forward, demand for EWP products will remain closely aligned with new home construction activity, particularly in the single-family segment. Given this dynamic, we expect a slightly softer demand environment in the fourth quarter as housing activity typically decreases into the winter months. That being said, we do have a favorable outlook for housing and EWP demand as we transition into next year’s spring building season. In Distribution, adjusted EBITDA decreased by $4 million compared to the second quarter, largely due to a decrease in sales volumes and commodity margins. With that, I’ll turn the call over to Davie, to discuss some financial items and our fourth quarter outlook.
David M. Wold: Thanks, Devin, and good morning, everyone. I’ll be covering key financial items and third quarter financial performance before moving into our fourth quarter outlook. I’ll begin with key financial items, which are summarized on Page 16. We ended the quarter with just under $900 million of cash, of which $114 million was earmarked for the final tranche of the Alabama timberland acquisitions we closed earlier this month. Our balance sheet, liquidity position and financial flexibility remain strong. In the third quarter, we generated $234 million of cash from operations and capital expenditures were $97 million. We now expect approximately $420 million of capital expenditures in 2024, which is at the lower-end of our multi-year targeted range of $420 million to $440 million. It’s worth noting that we’re always evaluating our capital allocation levers and have the flexibility within our framework to make adjustments in response to market conditions, alternative uses of cash and the capacity to successfully execute on our annual CapEx program. Importantly, we are committed to investing in our businesses across market cycles and are pleased to remain within our multi-year CapEx range despite the challenging market conditions in 2024. We returned $145 million to shareholders through the payment of our quarterly base dividend and approximately $25 million through share repurchase activity in the third quarter. These shares were repurchased at an average price of $30.64, and as of quarter end, we had completed approximately $875 million of repurchase under our $1 billion authorization. As demonstrated by the recent timberland transactions, the increases to our base dividend, our continued share repurchase activity and our commitment to investing in our businesses, we remain well-positioned to navigate a range of market conditions and take advantage of compelling capital allocation opportunities that generate solid returns for shareholders. Third quarter results for our unallocated items are summarized on Page 15. Adjusted EBITDA for this segment increased by $10 million compared to the second quarter, partially attributable to lower corporate function and variable compensation expenses. Looking forward, key outlook items for the fourth quarter are presented on Page 18 and updates to several full-year outlook items are presented on Page 19. In our Timberlands business, we expect fourth quarter earnings and adjusted EBITDA to be comparable to the third quarter of 2024. Turning to our Western Timberlands operations. We expect the domestic log market to be relatively stable in the fourth quarter and anticipate steady demand for our logs. As a result, pricing for our grade logs is expected to be comparable to the third quarter. That said, we anticipate a slight decrease in our average domestic sales realizations, largely driven by a lower mix of grade logs. Our sales volumes to domestic customers are expected to increase in the fourth quarter as we reduce shipments to our customers in China. Forestry and Road Costs and Per Unit Log and Haul Costs are expected to be slightly lower, and we anticipate moderately lower fee harvest volumes given fewer working days in the fourth quarter. Moving to the export markets. In Japan, we expect log markets to remain soft in the fourth quarter due to ongoing consumption headwinds and elevated inventories of finished products. As a result, we anticipate slightly lower sales volumes compared to the third quarter. That said, our average sales realizations are expected to be comparable. Turning to China. Despite ongoing consumption challenges, Chinese log markets are expected to be relatively stable in the fourth quarter, and we anticipate steady demand from our strategic customers. That said, we anticipate a decrease in sales volumes to China compared to the third quarter as we flex logs to domestic customers. Our average sales realizations are expected to increase slightly. In the South, we expect stable sawlog demand in the fourth quarter as mills increase operating rates in response to the recent improvement in lumber pricing. Regarding fiber logs, supply and demand were relatively balanced at the outset of the fourth quarter. That said, we could see an increase in regional supply as logging capacity shifts to fiber salvage activity following Hurricane Helene. As Devin mentioned, although our timberland sustained minimal damage from the tropical weather systems in the third quarter, wet conditions limited our operating activities in certain geographies. As a result, we now expect our full-year fee harvest volumes in the south to be slightly lower than 2023, and we plan to make these volumes up over the next several quarters. On that note, we anticipate slightly higher fee harvest volumes in the fourth quarter. Our forestry and road costs are also expected to increase as some of this activity shifted from the third quarter. Our average sales realizations are expected to be comparable to the third quarter and per unit log and haul costs are expected to increase slightly. In the North, our fee harvest volumes are expected to be moderately higher compared to the third quarter, and our sales realizations are expected to be slightly higher due to mix. Turning to our Real Estate, Energy and Natural Resources Segment. Real estate markets have remained solid year-to-date, and we have capitalized on steady demand and pricing for HBU properties. As a result, we are increasing our guidance for full-year 2024 adjusted EBITDA to approximately $340 million an increase of $10 million from our prior guidance and a $20 million increase from our initial outlook for the segment. We now expect basis as a percentage of real estate sales to be 40% to 45% for the year, and we remain on-track for a sizable increase in contributions from our Natural Climate Solutions business as we continue to advance toward our $100 million EBITDA target by year-end 2025. For the fourth quarter, we expect earnings and adjusted EBITDA to be approximately $10 million lower compared to the third quarter due to the timing and mix of real estate sales. For our Wood Products segment, we expect fourth quarter earnings before special items and adjusted EBITDA to be slightly higher compared to the third quarter, excluding the effects of changes in average sales realizations for lumber and OSB. Benchmark prices for lumber entered the fourth quarter on an upward trajectory as supply and demand have approached a more balanced state. For OSB, benchmark prices were stable for the entire third quarter, but have increased into October. As shown on Page 20, our current and quarter-to-date average sales realizations for lumber are moderately higher than the third quarter average. For OSB, our current and quarter-to-date average sales realizations are slightly lower than the third quarter average, largely due to the length of our order files, which result in a lag effect for OSB realizations. For our lumber business, as Devin mentioned, we plan to return to a more normal operating posture in the fourth quarter. As a result, we anticipate higher sales volumes and lower unit manufacturing costs. Our log costs are expected to be slightly lower than the third quarter. For our OSB business, we expect moderately higher sales volumes and moderately lower unit manufacturing costs compared to the third quarter, given less downtime for planned annual maintenance. Our fiber costs are expected to be slightly higher. In our Engineered Wood Products business, we continue to anticipate close alignment between product demand and single-family homebuilding activity. And as Devin mentioned, we expect a slightly softer housing environment in the fourth quarter given seasonal dynamics over the winter months. As a result, we anticipate lower sales volumes and realizations compared to the third quarter, and raw material costs are expected to decrease. For our Distribution business, we expect adjusted EBITDA to be slightly lower compared to the third quarter, largely driven by seasonally lower sales volumes. With that, I’ll now turn the call back to Devin, and look forward to your questions.
Devin W. Stockfish: Thanks, Davie. Before wrapping up this morning, I’ll make a few brief comments on the housing and repair and remodel markets, starting with housing. On balance, our macro view on the housing market is largely unchanged. Despite softer than expected activity in July, the single-family homebuilding segment has held up reasonably well this year and continues to be supported by healthy underlying demand for housing, limited inventory of existing homes on the market and actions taken by the larger public homebuilders to offset affordability challenges. In contrast, the multi-family segment remains challenged given excess supply and the impact of higher interest rates on new projects, and we expect this dynamic to remain in place into 2025. In the near-term, we expect single-family construction activity to follow a typical seasonal pattern through the winter months. And assuming the macro environment and consumer sentiment remain healthy, we’d expect a stronger single-family building activity in 2025 compared to this year. That said, although mortgage rates have come down from recent highs, the housing market could face some near-term choppiness as certain buyers remain on the sidelines in anticipation of lower mortgage rates and improving affordability. Regardless, our longer-term view on housing fundamentals continues to be favorable, supported by strong demographic trends and a vastly under-built housing stock. Turning to the repair and remodel market. While activity was generally stable in the third quarter, repair and remodel demand has been softer this year compared to the last several years, largely driven by cautious consumer sentiment in response to inflationary pressures and fewer existing home sales in an elevated rate environment. In general, the Pro segment has outperformed the Do-It-Yourself segment in 2024. As we enter the fourth quarter, we’re encouraged by a recent uptick in demand from our home improvement Weyerhaeuser customers and from the treater segment. While we do expect a seasonal moderation in repair and remodel activity around the holidays, we’re optimistic that demand will recover as interest rates move lower and consumer sentiment improves. And longer-term, many of the key drivers supporting solid repair and remodel activity remain intact, including favorable home equity levels and an aging housing stock. So in closing, despite a challenging third quarter, we continue to execute against our strategy and demonstrate the resilience of our people and our portfolio. Our financial position is strong and our capital allocation framework is both sustainable and appropriate for the cash flows that we generate across market cycles. Looking forward, we remain focused on achieving our multi-year growth targets, delivering peer leading performance, serving our customers and driving long-term value for our shareholders. And finally, we are encouraged by recent improvements in the lumber market, and we’re optimistic that we’re going to see a stronger demand environment for our products in 2025. So with that, I think we can open it up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Susan Maklari with Goldman Sachs. Please proceed with your question.
Susan Maklari: Good morning, everyone.
Devin W. Stockfish: Good morning.
David M. Wold: Good morning.
Susan Maklari: My first question is on lumber and focusing in on the improving supply demand dynamics that you talked to in your comments. Can you just give us some more color on how you’re seeing that building as we think about not just the fourth quarter but then going into 2025? And, how are you thinking about the ability for yourselves and for the industry in general to respond if we do see that demand recovery coming through over the next couple of quarters? How quickly do you think you’ll ramp production and what will that look like across the next several quarters?
Devin W. Stockfish: Sure. Good question, Sue. I mean, when we look at what’s happening in the lumber market right now, it’s really a combination of two things. There’s a supply dynamic and there is a demand dynamic. I think on the supply side, obviously, this year, we’ve seen a fairly significant amount of capacity come out of the system. Much of that, maybe 3.5 billion board feet or somewhere in that realm, that’s coming out either permanently or indefinite curtailments, which suggests it’s not coming back in the near-term. There’s also been a lot of softer supply reductions in terms of people dialing back production within their existing mill set. So, a fairly significant amount of supply has come out of the system. It usually takes a little while from the time an announcement is made until the time that the lumber starts shipping from that mill. And, I think we’re starting to really see the impacts from some of those closures. So, that’s a component and that comes on top of by the way some mill closures that we saw last year in 2023. So, it’s been a pretty significant period of reduction in capacity. On the demand side, as we mentioned, single-family housing is holding up reasonably well. We expect that to continue. We’re encouraged that we’re seeing some pickup in demand from the R&R side. We’re seeing treater buying activity picking up and even a little increased activity from the big box stores. So, that’s positive. As we roll into 2025, our expectation is that we’re going to see a better housing environment, particularly on the single-family side, and we expect R&R to pick up as well. And, the challenge there from an industry standpoint is, there’s a little bit of latent capacity in terms of maybe people could operate at a slightly higher operating rate. But, all of that capacity that’s come out of the system is really not going to come back, I think, in the near-term, if at all. So, if you get a meaningful uptick in demand, I think that puts some upward pressure on pricing as we roll into the spring building season next year.
Susan Maklari: Okay. That’s very helpful color. And, then maybe focusing on the other side of that which is the cost piece of it, can you talk a little bit about the OpEx has obviously been very effective here. How are you seeing that coming through over the course of 2025, the opportunities there and what that could mean for your margins as things do tighten up?
Devin W. Stockfish: Yes. I mean, clearly, the last few years have been challenging with the inflationary pressures that we’ve seen and that’s not unique to us by the way. That’s pretty much every industry. So, that’s been a headwind, no question. I think we’re going to continue to stay focused on cost as we always do. We’ve got a lot of initiatives underway, whether it’s reliability, whether it’s automation, whether it’s just pulling controllable costs out of the system. That’s something we’re working on every day, every week, every year. I think the big opportunity for us as we roll into next year, if we’re in a more normalized demand environment and we can ramp our production up to the capacity levels, get the higher operating rates, we get a lot of benefit to unit cost. And so, that could be a pretty significant tailwind for us next year in our production environment from an OpEx standpoint and a margin standpoint.
Susan Maklari: Thank you for the color and good luck with everything.
Devin W. Stockfish: Thanks, Sue.
Operator: Our next question is from George Staphos with Bank of America. Please proceed with your question.
George Staphos: Hi, thank you. Good morning. Thanks for all the details.
Devin W. Stockfish: Good morning.
George Staphos: Hope you can hear me okay. Good morning, Devin.
Devin W. Stockfish: Yes, we can.
George Staphos: Perfect. First question and recognizing the color you gave on the fourth quarter for timberlands in the West and in particular export markets and there are no guarantees in life, we get it. But, what are your contacts in the field saying, what are your partners saying about the outlook for exports in the first half of ‘25? As we mix the macro, I don’t know if there’s any trade policy consideration we need to have, but what’s your view on western exports in particular first half?
Devin W. Stockfish: Yes. So, I’ll speak to Japan first. One of the dynamics that’s at play right now in Japan is, as we mentioned, there was a pretty significant amount of volume that came into Europe in Q3, and so that put some competitive pressures in that market. I do think a lot of that would at current pricing in Japan is probably margin negative. So, my expectation is you’re going to see some of that European flow into Japan dial back as we get into next year and work through some of the existing inventory. Our customers are very competitive, and I expect that they will go out and regain that market share. So, I think next year, as we think about the first half into Japan, that should be solid demand environment. There’s some correlation on the pricing side to what happens with western domestic log markets. Those things typically move in tandem.
George Staphos: Yes.
Devin W. Stockfish: But, our expectation is Japan should be fine as we move into next year. I think China is a little bit of a wildcard. I mean, there’s always demand from our customers for Pacific Northwest logs into China. And generally speaking, we have the ability to move more volume into China if we so desire. It’s usually just a question of what does the margin opportunity look like. And, I think there are some real unknowns as we head into next year. We’ve obviously seen fiscal policy in China try to spur the economy. They’re making some strides to try to, repair the real estate market in China. If that gets legs, you could see some upside there. And, there’s always the question about volume flowing in from New Zealand and Australia and some of these other supply regions. I will say, in China, one thing that I do expect to continue to be a tailwind is we’ve seen the volumes of logs coming in from Europe drop off dramatically as they work through that salvage volume. So, I don’t think it takes a whole lot of pickup in demand for us to see that China market improve. But, as I say, a lot of variables that go into that market.
George Staphos: Okay. Appreciate it. So, it sounds with that proviso, it sounds like it’s probably getting better from second half of the year.
Devin W. Stockfish: Into Japan, certainly.
George Staphos: I want to, okay. Thank you for that. For Wood, and this is up there with what have you done for me lately, right, in quotes and Weyerhaeuser has done a tremendous job on margins in the lumber business with OpEx with black at the bottom. It’s a question that comes up periodically. Will you be able to, if you hold the market constant, can you get to breakeven at EBITDA with whatever program you have in place for OpEx in 2025, recognizing it’s a very challenging market and the like, or if there’s no improvement, hopefully there will be, but assuming there’s no improvement, do we need to resign ourselves to moderate, modest EBITDA losses in lumber, for the foreseeable future? How would you have us think about that?
Devin W. Stockfish: Yes. I mean, I’m certainly a lot more optimistic about 2025 for a couple of reasons. First of all, I do think the demand environment is going to pick up. So, that’s our house view. But, putting that aside, when you look at our lumber portfolio, we are well-positioned on the cost curve, notwithstanding that this has been one of the most challenging lumber markets we’ve seen in a very long time. On an inflation adjusted basis, these lumber prices are kind of great recession type dynamic.
George Staphos: Right.
Devin W. Stockfish: And certainly, we’re not pleased. We’re not satisfied with losing money in lumber. We’ve got a whole lot of work in place to make sure that we continue to take cost out of the system, and we’re doing that. But, what I would say is, it’s just not sustainable as an industry to have everybody cash flow negative across the market. And, so we’ve seen the result of that with a significant amount of capacity coming out of the system. You’ve seen that just even here very recently. That’s tightened things up. You’re seeing prices come up. So, over the long-term, we will make money in lumber. I think, again, we got to put this in context. The challenging market we’ve been in, it’s been difficult. But, I think brighter days are ahead and we will certainly navigate it better than most. And, I expect our businesses to make money and frankly earn a profit well above our cost of capital in all of our manufacturing businesses. So, that would be my expectations for 2025.
David M. Wold: Hey, George, and I’d just add --
George Staphos: Go ahead, Davie. Yes.
David M. Wold: George, I’d just add, this is Davie. At current lumber prices, we would expect to be EBITDA positive. Where prices have gone over the last.
George Staphos: Understood. And should we expect OSB kind of flat to up based on current prices and EWP to be down sequentially 3Q to 4Q? Thank you and I’ll turn it over.
Devin W. Stockfish: Yes. I mean, obviously, we’ve seen a pickup in OSB prices here over the last few weeks. When you look at our earnings materials, that’s not fully reflected in quarter-to-date just because there’s a time lag with the length of our order files. But if you project that out over the course of the quarter and like I said, our order files have now pushed out little bit, further than normal for this time of year. So, I think directionally, that’s positive. We’re expecting more volume in OSB since we don’t have annual maintenance outages. So, I think directionally you’re right there, and similarly on EWP given our expectations around pricing and volume.
George Staphos: Thank you so much.
Devin W. Stockfish: Yes. Thank you.
Operator: Our next question is from Kurt Yinger with D.A. Davidson. Please proceed with your question.
Kurt Yinger: Great. Thanks and good morning everyone.
Devin W. Stockfish: Good morning.
Kurt Yinger: Devin, you touched a couple of times on kind of the improved demand in the South, specifically from the treaters. Does that improvement buck typical seasonal trends at this stage and maybe even seeing a positive inflection on a year-over-year basis? And I guess secondarily, do you think that’s an indication of better takeaway from the end consumer or perhaps an inventory positioning at what looks like attractive price levels?
Devin W. Stockfish: Yes. I mean, the historical buying patterns for the treaters, it wouldn’t be unusual for them to build a little inventory in Q4 if they saw prices hit a point where they thought that could be advantageous. Over the last several years, I would say buying patterns from treaters has been a little different than prior history. And so they’ve been more opportunistic throughout the year. In terms of is this building inventory for next year or a pickup in customer demand? I suspect it’s probably a little bit of both. I do think that we’ve just because we’ve seen that in a couple of different channels, I think we’re seeing a little bit of a pickup in R&R activity right now, and so I think that’s a component as well. It’s hard to say exactly how much of one versus the other, but I think it’s a little of both.
Kurt Yinger: Got it. Okay. That makes sense. And moving to EWP, a lot of discussion in the past couple of years around shifts in floor systems, I-Joist versus open web trust. Part of that certainly seemed to stem from availability. But if I look at I-Joist volumes this year, it looks like they’re going to be down about 25% from peak. Starts will be down maybe mid-teens percentage. Curious how you would reconcile that difference and how you think about EWP demand relative to starts going forward and the potential for maybe some share recapture.
Devin W. Stockfish: Yes. I mean, I think you’re exactly right. During the peak of the pandemic years, the availability of I-Joists and engineered wood products in general was pretty stretched. And so builders had to switch over to whatever products that they could find to keep building homes. My expectation is that, ultimately, we will be able to recapture most of that market from open web. The challenge at present just has been that lumber prices have been so low. That’s been a little bit more difficult in today’s pricing environment. I do think as pricing for lumber hits a more normalized level, that will be a little easier to recapture share and certainly that’s our expectation over time.
Kurt Yinger: Okay. And then just one more quick one on capital returns. Year-to-date base dividends and share repurchases have outpaced FAD and I’m curious how that factors into the thought process or potential for a supplemental dividend in Q1 and how important having at least some level of supplemental dividend is kind of within that variable returns framework that you have.
David M. Wold: Yes. You bet, Kurt. I mean, I’d just say we’ve still got some time left in the year to see how commodity pricing plays out. As we’ve mentioned, pricing has ticked up here over the past several weeks, particularly Southern Alpine. So, at this point, I’d expect we’ll be in the ballpark of covering the base dividend with adjusted FAD even if that pricing momentum doesn’t continue. And so, yeah, it’s possible that we wouldn’t have a substantial amount under our framework above and beyond that, but there’s nothing in our framework that would preclude us from doing a supplemental dividend above and beyond that $75 million to $80 million or even thinking about share repurchase above and beyond that $75 million to $80 million as we’ve talked about in the past. But regardless of all that, I’d point out that despite the challenging markets, this is exactly the type of year we had in mind when we designed this framework. We’ve been able to be active in share repurchase. We’ve been able to continue to invest in the growth of our business, both through the Timberland acquisitions, organic CapEx. We’ve increased the base dividend, and ultimately, all of those things are going to leave us very well positioned when markets inevitably improve. So really, to us, it just demonstrates the power of our flexible cash return framework in action and allows us to allocate our cash in the way that creates the most value for shareholders over time.
Kurt Yinger: Right. Okay. Makes sense. Appreciate the color, guys. Thank you.
Devin W. Stockfish: Thanks.
Operator: Our next question comes from Anthony Pettinari with Citi. Please proceed with your question.
Anthony Pettinari: Good morning.
Devin W. Stockfish: Good morning.
Anthony Pettinari: Just following up on George’s question on Timberlands. Looking at the outlook for 4Q suggests ‘24 might end up being kind of one of the lowest EBITDA years for Timberlands since Plum Creek merger. And I’m just wondering, you talked about kind of potential improvement drivers next year in the West and export markets. I’m just wondering if you could talk about what you’re seeing potentially driving improvement in the U.S. south?
Devin W. Stockfish: Yes. I mean, so as we think about the Timberlands business as a whole, it’s really mostly a function of what’s happened with Western log prices. And it’s a really challenging market to drive log prices up even in a tension wood basket when lumber prices are at the levels that they’ve been most of this year. So, I would just say as an outset Timberlands as a whole, as lumber prices on the West Coast improve, which we believe they will and they have to some extent already, you’ll see log prices follow that. In the south, we’ve had a little less volume this year than we had expected. That’s largely a function of some weather events. The thing about Timberlands volume is if you don’t get it now, you will always get it later, and so we’ll roll that volume into future quarters. We do think that over time in a more normalized environment, many of those markets that have seen additional capacity come in will get some pricing pressure, and we’ve seen that over the years as the new capacities rolled into the south. We’re continuing to look for export opportunities, out of the US south that should help tension some of those markets as well. So, we’re going to continue working at that, and, ultimately, we think over the long-term, you’ll see price improvement in the south. Obviously, that’s been slow to come. But as a Timberlands business more holistically, I think as you see lumber prices in the west pick up, you’re going to see log prices in the west return to a more normalized level, which has a pretty meaningful impact on our overall earnings, in the Timberland segment.
Anthony Pettinari: Okay. That’s very helpful. And then for the hurricanes, and I’m sorry if I missed this, but is there sort of an all in estimate on the impact of the hurricanes in terms of tons or EBITDA or however you’d kind of measure it? And then just piggybacking on that, when you see the kind of these hurricanes typically, is demand for lumber or OSB or EWP, is it sort of destroyed, deferred, or maybe some incremental demand is created? Just how you kind of characterize the impact?
Devin W. Stockfish: Yes. I mean, so first and foremost, we were very fortunate because the path of the hurricane really travelled in between a lot of our timberlands. So, we didn’t really have any meaningful impact in terms of damage to our timberlands. So, the real impact was we weren’t able to move as much volume in the south as we had planned. And so call it maybe 1%, 2% in terms of volume impact in the quarter, in the south. Much of that, frankly, was on the fiber side, so not as much of a margin impact as if it was impacting grade. The impact on overall market dynamics, it really it depends on the specific storm, right? Because as it moves through, it’s going to have some impact on mill operations. So, on the demand side, it typically hurts. And obviously, people are not out building houses during the storm and have to work through some of the wet weather there. Now the flip side of that is you also oftentimes see a pickup in wood demand as the reconstruction happens. And so it really just depends. There are puts and takes on both the demand and the supply side. I think in this one, at least for us, it didn’t have a meaningful impact on the markets. You’ll see in certain geographies, you’ll see a little bit of excess fiber flowing into the market as people that did have damage to their timberlands go out and start that salvage activity. That usually hits the fiber markets a little bit heavier than the grade markets. So we may see a little bit of that in Q4, but I’m not sure that’s going to be material on the whole to us.
Anthony Pettinari: Okay. That’s very helpful. I’ll turn it over.
Devin W. Stockfish: Thanks.
Operator: Our next question comes from Mark Weintraub from Seaport Research Partners. Please proceed with your question.
Mark Weintraub: Thank you. Since we’ve covered a lot on wood products and timber, I thought I’d ask some NCS questions. Maybe starting with can you give us a sense of how much acreage are tied to the three solar development projects that are under construction?
Devin W. Stockfish: Mark, I don’t have that at the tip of my fingers. I mean, the total acreage covered by our solar agreements is about 130,000 acres. I don’t have the specifics on these individual projects at my fingertips, but we can follow-up with you if you need to.
Mark Weintraub: Great. And I really was trying to get to what type of economics might be forthcoming with the projects under development. I don’t know if that’s something you can speak to off the cuff.
Devin W. Stockfish: Yes. I mean, I’ll tell you, we’re intentionally not getting into the economics of these projects, Mark. And the reason is we’re out signing up new deals every day and we’re always trying to improve the economics for new deals. And so we’re trying to be pretty thoughtful about how much specific information we give on these projects. I mean, I think overall, if you kind of step back, we had in the neighborhood of $10 million of EBITDA coming from our renewables program and that was primarily just the lease payments as people assess these deals and the wind projects. We’ve got two new wind projects coming online next year. We’ve got three solar projects that will be online over the next, call it one of them will be online here shortly and the other two in the next six to nine months with a whole wave behind that. So, I mean, on balance, it’s going to pick up over time and it will become a more material component of our overall NCS business.
Mark Weintraub: Right. And any color you can give us on maybe the number of contracts that or options that are expiring in 2025? And does that heighten the possibility that those start moving forward or is that not necessarily the way to think about in solar specifically?
Devin W. Stockfish: Yes. I mean, in solar, typically, you’ll have a few that expire every year and we replace those in the pipeline. So, what you’ve seen is really over the last several years, the number of new agreements that we’re signing and putting in the pipeline far exceeds the numbers that are expiring. And so right now, we’re somewhere in the neighbourhood of 70. You’ll see a few roll off, but we’ve got a whole bunch of them in the pipeline for new agreements. So, I would expect that number to increase over time. Just a lot of demand, a lot of activity on the solar side.
Mark Weintraub: Right. So, it sounds like though that the hit ratio recognizing you are refilling isn’t necessarily super high yet in terms of people actually moving forward as the projects are expiring.
Devin W. Stockfish: Yes. I wouldn’t necessarily characterize it in that way just because these projects typically take four to five years from the time you sign up an agreement to the time that it ultimately comes to fruition. The industry conversion rates are somewhere around 35% in that general vicinity. I think we’re going to be meaningfully higher than that. But certainly, not every agreement that you sign up will result in a solar project coming to fruition, but I think we will be on the high end because we’re choosing to coordinate with partners that have a higher success rate and are a little bigger and more sophisticated in general.
Mark Weintraub: That’s helpful color. And then lastly just on CCS, any progress on permits, any update on the timeframe for how that might be moving forward?
Devin W. Stockfish: Yes. I’d say broadly speaking with the carbon capture and sequestration, the timelines on these are just they’re shockingly slow. And frankly, the permitting process is just taking a lot longer than anyone had initially expected. So, as we think about how this is progressing, I’m thinking at this point, we’re probably looking now at delays between one to two years versus what we had previously thought. Where we had originally anticipated seeing injections in ‘25 or ‘26, that’s probably going to be pushed out a bit. We really need to get permitting reform, in place to get these projects through the pipeline more quickly. But it is going much slower than we expected. That being said, still think the opportunity set there is fairly large, and ultimately still have a lot of confidence that these things ultimately come to fruition, but just the timeline is extended relative to where we had initially thought they would be.
David M. Wold: And Mark, I’d just add more broadly speaking across these NCS spaces. I mean, while we have had some expanded time frames in some circumstances, we’re really pleased with the overall progress we’re making towards that $100 million target by the end of 2025, continuing to work towards that. We may see a little bit more in some of the legacy businesses like mitigation banking and conservation, but really pleased with the longer term trends here in this space.
Mark Weintraub: Great. And you’ve mentioned you got approval on the two additional forest carbon projects. Anything else that sort of we should be thinking about in terms of the details in NCF that are meaningful and impactful?
David M. Wold: Yes. I would just say on the forest carbon specifically, I’m really encouraged by the trajectory that we’re seeing there. The demand for these projects, the high quality projects in particular, is really seeing a meaningful uptick. And so we’ve got projects, the three projects, the Maine and the two in the south that should have approval here shortly. We’ve got three or four that are in the pipeline behind that and then a whole bunch more that are in the earlier stages of development. So, we’re building out a nice pipeline. It’s important to remember that obviously with each of these projects, there will be an incremental issuance year after year. So, like the solar, like the wind, they build. And I think the pricing that we’re expecting should be pretty solid. And we’re seeing a good level of demand from some high quality customer. So, we’re feeling pretty good. And I think next year, you’ll see a pretty meaningful uptick in the forest carbon revenues and EBITDA that we’ll be generating.
Mark Weintraub: Great. And obviously, it’s got magnificent cash conversion, so that’s all good too. Thanks so much.
Devin W. Stockfish: That’s right.
David M. Wold: Yes, thank you.
Operator: Our next question comes from Matthew McKellar from RBC Capital Markets. Please proceed with your question.
Matthew McKellar: Good morning. Thanks for taking my questions. First, what role do you think European lumber imports play if we see an uptick in lumber demand and pricing in 2025, particularly if European demand remains soft?
Devin W. Stockfish: Yes. I mean, I think that’s always a variable you have to take into consideration. We’ve seen that come down pretty meaningfully here over the last, call it, 18 months. That’s largely, I think, a function just of the pricing dynamic that we’ve seen in the U.S. If you have continued softness in Europe, to the extent that there’s a meaningful margin to be achieved, that could see an uptick in European supply. The one thing though I would say is, if you look at Europe as a whole, there are a couple of dynamics that will remain in play. First of which is you’re certainly not going to see that Russian lumber coming into Europe in the near-term. So, there’s a component of supply that’s just going to be gone for the foreseeable future. And then the other dynamic is with all of the salvage activity, from the beetle infestation in Central Europe, I mean, that salvage wood is really dialing back pretty significantly. So, it’s not as though they’re going to have really, really cheap fiber to convert and send over here. So even in an improved pricing environment in the U.S., I’m not sure you’re necessarily going to see the magnitude of European volume coming into the U.S. that maybe we saw during the pandemic years. But around the margins, it’s certainly possible you could see a pickup there, and we’ll see if that’s offset by lower volumes coming in from Canada given the duty situation.
Matthew McKellar: Thanks. That’s helpful. And then just last for me. Are you seeing a potential longer term revenue stream opportunity related to lithium mining as it relates to your land in the U.S. South, maybe around Texas, Arkansas, maybe Louisiana in particular? And if so, how would you just think have us think about the potential size and timeline of those opportunities?
Devin W. Stockfish: Yes. I mean, I think at this point, the timing and magnitude, it’s a little early to quantify that. But if you look at where those big lithium deposits are and you overlay that against our land base, I think you can see there’s some pretty significant overlap. So, we do think that is an opportunity, and I can say we’ve had some conversations around that, but beyond that probably not much else that I think we should share at this point.
Matthew McKellar: Okay, fair enough. That’s all for me. Thank you.
Devin W. Stockfish: Thank you.
Operator: Our next question comes from Ketan Mamtora from BMO Capital Markets. Please proceed with your question.
Ketan Mamtora: Good morning and thanks for taking my question. Devin, maybe to start with on the engineered wood side, can you just help me understand a little better in terms of just the sequential pressure in the engineered wood business? Given that prices were sort of flat quarter over quarter and I would imagine some modest benefit on the cost side from lower OSB prices, what are the two or three key challenges in the quarter?
Devin W. Stockfish: Yes. I mean, it’s really volume. I mean, if you sort of just at a very high level, we rolled into the quarter with certain expectations around what was going to happen in the summer building. So, I would say inventories were maybe a little bit above normal, not significant, but a little bit above normal. And then you saw a July housing market that was pretty weak. And so we dialed back our production. We have a general philosophy that if there’s not a market for the wood, you want to be really thoughtful about keeping production levels up and building up significant inventories because you’re going to have to move that, which typically comes at a price. So, we were thoughtful to matching our production to the demand environment. And obviously, housing picked up as the quarter went on. But as you look about look at the quarter-over-quarter impact, it was primarily related to just we lowered our production volume 19% in solid section, 25% in I-Joists over the quarter, which obviously comes with some lost volume, but you also have with the lower volume, you have higher unit cost because you’re spreading your fixed cost across a lower volume. And so really it comes down to just we produce less volume, given the dynamic in the market. Now as that picks up, we can ramp up production fairly easily to match the demand environment. Obviously, at this point in the year, typically, you see a little bit of a slowdown in building activity as you get into the colder months, and so we’re mindful of that. But as we think about 2025 and what we think is going to happen with housing in the spring building season, I would fully expect that business to be back on track and reflect kind of what you’ve seen in prior years.
Ketan Mamtora: Got it. That’s helpful, Devin. And then so very quickly, what were your operating rates in EWP, lumber and OSB in Q3?
Devin W. Stockfish: Yes. So in lumber, you were talking somewhere in the mid to high 70s, in OSB, high 80s, in EWP, kind of mid-60s.
Ketan Mamtora: Got it. Okay. And then just one last one for me. Devin, anything going on, in terms of log exports out of U.S. south at this point? Is anything happening on that front?
Devin W. Stockfish: It is. Yes. As a matter of fact, we’re excited about some of the opportunities. I mean, it’s still, for context, relatively small compared to the overall harvest volumes. But the silver lining with what’s happened with China, and obviously, we would like that China market to open up again at some point, But the silver lining with the challenges that we’ve seen there is it’s given us the time and latitude to really focus on some other market opportunities. And so we’ve been growing our export business into India. I think there is a lot more demand for our logs in India than we’re able to ship currently. And so we’re looking at building out additional export facilities in the U.S. south to serve that market. We are growing our volumes into Vietnam. We’ve come across some really interesting customers there that value the high quality logs that we can send out of the south, so we’re looking at that as well. And I think there are a host of other opportunities in Turkey and Pakistan and some other markets as well. And so, that’s a focus area for us. And certainly, at some point, we still believe that the China opportunity will come back. And so, we’re focused on that. It’s something I think with our supply chain expertise and our low cost business. It’s a market that we can serve from our U.S. holdings in the south, and so we’re pretty excited about how that’s going to grow over time.
Ketan Mamtora: That’s very helpful. Thank you, Devin. I’ll turn it over. Good luck.
Devin W. Stockfish: Thank you.
Operator: Our next question is from Michael Roxland with Truist Securities. Please proceed with your question.
Unidentified Analyst: Hi, guys. This is [Nick Capucini] (ph) on for Mike. Thanks for taking my questions. Really just one follow-up to that EWP operating rate question. I thought I heard mid-60s. I guess just going forward in 4Q in light of seasonally lower demand and maybe matching your production to that demand, do you expect that to stay the same or seasonally maybe to go lower? And then before we enter the spring season next year, is that kind of the rate we’re looking at? Could it maybe uptick in 1Q? Thanks.
Devin W. Stockfish: Yes. I mean, I think as we think about Q4, it’s going to be up slightly. But as we think about the posture as we roll into next year, I think that would be more typical of what you see for us in Q1 normally. So, and to some extent, you’re going to see in normal years, you’re going to see the Q4 volumes come down just a little bit given the dynamic at play and seasonality, but I would expect that to ramp back up in Q1 for our normal operating posture.
Unidentified Analyst: Yes. I think and then just that normal operating in 1Q, like 70s? Or what are we thinking?
Devin W. Stockfish: Yes. I mean, in EWP, I think ordinarily, you’d see high 70s, low 80s would be a good way to think about that under normal conditions.
Unidentified Analyst: Got it. Thank you. I will turn it over.
Operator: There are no further questions at this time. I’d like to turn the floor back over to Devin Stockfish for closing comments.
Devin W. Stockfish: All right. Terrific. Well, thanks everyone for joining us this morning, and thank you for your continued interest in Weyerhaeuser. Have a great day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time, and we thank you for your participation.